Operator: Good morning, ladies and gentlemen, and welcome to the Owens & Minor's Fourth Quarter and Full-Year 2015 Financial Results Conference Call. My name is Candace and I will be your operator for today. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Trudi Allcott. Please go ahead.
Truitt Allcott - Director-Investor & Media Relations: Thank you, Candace. Good morning everyone and welcome to the Owens & Minor fourth quarter and full year 2015 earnings call. I'm Trudi Allcott and on behalf of the team, I'd like to read a Safe Harbor statement before we begin. Our comments today will be focused on financial results for the fourth quarter and full year of 2015, which are included in our press release and on our website. In our discussion today, we will reference certain non-GAAP financial measures. Information about these measures and reconciliations to GAAP financial measures are included in our press release and in the supplemental information posted on our website. In the course of our discussion today, we may make forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from those projected. Please see our press release and our SEC filings for a full discussion of these risk factors. Participating on our call this morning are Cody Phipps, our President and CEO; Randy Meier, Executive Vice President and Chief Financial Officer and President of International; Grace den Hartog, our General Counsel and Nick Pace, our incoming General Counsel. Now, I'd like to turn the call over to Cody Phipps, who will start things off this morning. Cody?
Paul Cody Phipps - President, Chief Executive Officer & Director: Thank you, Trudi, and good morning, everyone. As we enter 2016, I'm pleased with the progress we are making to reposition Owens & Minor as a global healthcare services company. As we move forward with our transformation agenda, we have launched initiatives to improve near-term performance and strengthen our value-added services for both provider and manufacturer customers. At the same time, we are investing in new global resources and capabilities, expanding our healthcare solutions and positioning the Company for long-term success. This morning I will update you on the progress of our key transformation initiatives. Randy will then provide more detail on our fourth quarter and full-year results. As you recall, our transformation plan has four key elements: one, build and align the senior team. Two, strengthen our domestic services business. Three, enhance the execution of our current growth strategies and four, develop future strategies. First, on building and aligning our senior team. As a reminder, we've already made a number of changes to the leadership team. Randy Meier, our CFO, has taken on leadership of Owens & Minor International, as well as our Clinical and Procedural Solutions Group. Erika Davis has assumed a new role as my Chief of Staff. And Marshall Simpson, an Owens & Minor veteran, who served the Company for 20 years, has returned to serve as our Chief Commercial Officer. Marshall, who is well known throughout the healthcare industry, has hit the ground running and is working with his team to refocus our commercial efforts. We also brought in Jay Romans, a highly experienced human resources professional, to lead our global HR team. And just a few weeks ago, we welcomed a new General Counsel, Nick Pace, who will take over when Grace den Hartog retires on March 1. We are very pleased to have Nick on board. He brings a broad base of experience in corporate law, transactions and regulatory compliance to our team. And finally, we are also making progress toward identifying a new Executive Vice President of Operations. We hope to have that leader on board soon. Along with realigning the senior leadership team, we have simplified reporting structures and created clear lines of accountability. As for strengthening our domestic services business, we are changing the way we manage our platform. We have developed a new simplified regional structure for sales and operations, which we will begin to implement in Q1. To further improve effectiveness and efficiency, we are also moving to a shared services approach by centralizing a number of key functions. With every move we make we are working to simplify the organization, improve our cost structure and achieve continuous operations improvement. The third element of our transformation agenda is to enhance the execution of our growth strategies. A key component here is our platform in Europe, where the team has made excellent progress in stabilizing the business. They are now well positioned to focus on driving growth. Our second growth strategy is the clinical and procedural solutions business. This global business unit focuses on the needs of provider and manufacturer customers by delivering kitting services for custom procedure trays and minor kits and trays used in clinical settings. Thus far, we are making good progress in both of these areas. The final element of our transformation agenda is to develop future strategies for sustained profitable growth. Later this year, we will be embarking on a review of our business designed to refresh our long-term strategic plan. As I mentioned upfront, I'm very pleased with the progress we are making with our transformation agenda, and I'm excited by the latent potential that I see in our business. Before I turn it over to Randy, I would like to say a few words about Grace den Hartog, who is retiring in a few weeks. As our General Counsel since 2003, she's has been a steady and insightful advisor to Owens & Minor and a great help to me. Grace has helped us maintain a steady course through transactions, management changes and international business ventures. We will truly miss her, but wish her well in retirement. Finally, I would like to comment on our performance in 2015. I want to commend the entire team for achieving record earnings for the year. This was a significant achievement, especially in the face of great change during the year. I've been impressed with the dedication, leadership and enthusiasm that everyone on our team demonstrates on a daily basis. We know that our customers value the comprehensive solutions we bring to market and they trust us to deliver the results they need. With newly energized leadership, a great culture and a new plan for the future, we are well positioned to drive sustained, profitable growth in the years ahead. Our future is bright. Thank you. And now I'll turn the call over to Randy for a review of our financial results as well as an update on our European operations. Randy?
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Thank you, Cody. And good morning everyone. I will use my time this morning to provide an update on our performance for the fourth quarter and the full year of 2015 and to give some color about our operations in Europe. We are pleased to report that a solid fourth quarter result and efficiency initiatives launched in the second half enabled us to achieve a better than expected outcome for the year. In fact, adjusted annual EPS of $2 was a record for Owens & Minor. At the start of the New Year, we continue to implement our transformation agenda, which is designed to position us for sustainable, profitable growth. As we discuss our results this morning, keep in mind that we made certain adjustments to our reported results, which are outlined in our press release. Consolidated revenues for the year increased 3.5% to $9.77 billion compared to the prior year, while quarterly consolidated revenues were $2.49 billion, a slight decline from last year. On an adjusted basis, annual consolidated operating earnings improved 12% to a record $227 million. As for the quarter, adjusted consolidated operating earnings improved by $4.1 million to $63 million. Consolidated operating earnings benefited from improvements in both the Domestic and International segments. In looking at the segments, for the full year, domestic revenues increased 4.5% to $9.36 billion. Revenue trends remained consistent all year with growth coming primarily from our larger healthcare provider customers. In addition, Medical Action acquisition accounted for 1.5% of revenue growth for the year. In the fourth quarter, domestic revenues improved 1.3% to $2.38 billion. Revenue growth was negatively affected by the exit of a certain domestic customer which we had previously disclosed. Turning to domestic operating earnings, for the year we saw a $14 million improvement in domestic operating earnings to $223 million. For the quarter, operating earnings improved $5 million to $62.5 million. Operating earnings benefited from solid revenue growth, contributions from Medical Action and positive impact of manufacturer price changes, as well as from expense improvement initiatives that were implemented during the second half of the year. Turning to the International segment. For the year, International segment revenues decreased 14.6% to $417 million, while quarterly revenues declined 25.6% to $103 million. Foreign currency translation had a negative effect of $52.5 million for the year and $9.5 million for the quarter. However, on a constant currency basis, excluding ArcRoyal revenues and the 2014 transition of a customer to a fee-for-service arrangement, International segment revenues declined approximately 3.5% for the year. The quarterly comparison also reflected the exit of a U.K. customer and a more modest flu season. International operating earnings for the year were $3.9 million, improved by nearly $11 million compared to the prior year. We are very pleased that the team in Europe was able to achieve such a solid turnaround. After making steady progress throughout the year to stabilize the business and strengthen the platform, the team is now very focused on customer development and business growth. We continue to expand our relationships with existing clients while securing new business that we will be onboarding in the coming months. Turning back to the consolidated results, our adjusted tax rate for the year was 37.4%, reflecting the benefits of our global tax strategy. Consolidated asset management metrics included DSO of 21 days versus 22.1 days last year and consolidated inventory turns were 9.4 compared to 10.1 in 2014. Operating cash flow for the year was nearly $270 million compared to a use of cash of approximately $4 million last year. At year end, we experienced more normalized levels of accounts payable than we did in the prior year. As for shareholder return, we provided a total of $84 million to shareholders last year through a combination of dividends and share repurchases. And I am pleased to report that our Board has just approved a 1% increase in our first quarter dividend. This year, we'll mark Owens & Minor's 86th consecutive year of paying dividends to shareholders. Turning to the bottom line. For the year, adjusted net income was $125.3 million or $2 per diluted share, a record earnings result for Owens & Minor. Outperformance resulted largely from the successful expense reduction initiatives, as well as favorable year-end inventory adjustments. For the quarter, adjusted net income was $35.1 million, or $0.56 per diluted share. As we look ahead to 2016, initiatives associated with our transformation agenda are well underway. Our teams both domestic and international are actively developing relationships with new and existing customers while we explore new avenues for growth. Therefore, we remain comfortable with our adjusted EPS guidance for 2016 of $2 to $2.05 per diluted share. Thank you. And with that, we will turn it over to the operator for questions. Operator?
Operator: Thank you. And our first question comes from Sean Dodge of Jefferies. Your line is now open.
Sean Dodge - Jefferies LLC: Hi, good morning. Thanks. Cody, you mentioned the International segment now being stable and a shift in focus there to growth. What are the avenues you're pursuing there? Is it all about adding new clients, or are you looking to further build out capabilities to cross-sell to existing clients or are you contemplating a pivot to more provider-focused services?
Paul Cody Phipps - President, Chief Executive Officer & Director: Yeah. Thanks, Sean. First, I do want to comment, I think the team did a great job of turning around the operations and stabilizing it. What we see now is a pretty robust pipeline of opportunities primarily with manufacturer customers. And again, the thesis we have is that we have a common Pan-European platform that can benefit our manufacturing partners. So it's really around supply chain services and providing what we think is the best route to market for the manufacturing customers.
Sean Dodge - Jefferies LLC: All right. Thank you. Then, Randy, at the Analyst Day, you gave guidance assuming the euro reaches parity with the dollar at some point this year. What are the implications to gross margin or EPS ranges if rates remain around their current levels?
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Yeah, Sean. When we look out over the remainder of the year, we haven't seen a whole lot that really drives us to change our expectations going further or looking out to this part of the year. But let me just give you an example. If were to see rates stay where they are, that would have an impact on earnings given what we're forecasting for the international businesses maybe about $0.01. So we don't see a tremendous amount of impact from – if rates are going to stay where they are.
Sean Dodge - Jefferies LLC: All right. Thanks again and congratulations on the quarter.
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Thank you.
Operator: Thank you. And our next question comes from Robert Jones of Goldman Sachs. Your line is now open.
Adam C. Noble - Goldman Sachs & Co.: Thanks for the question. This is Adam Noble in for Bob. I just wanted to ask around the domestic operating margin, really impressive performance, another sizable step-up both sequentially and year-over-year. But you mentioned several drivers of the improvement. I was hoping you could size the different buckets for us. And what portion of the year-over-year expansion came from the unusually large manufacturer price increases you mentioned on the 3Q call and looks like continued into 4Q?
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Yes, thanks for the question, Adam. You know, as we pointed out in every quarter this year, we did experience tailwinds from our manufacturer price increases and certainly that carried through the fourth quarter. And then as I'm sure you know, we have year-end adjustments relative to our LIFO balance sheets that relate to manufacturing prices. All these things came in fairly positively. We don't really give the specifics around that and where we are. But I think as Cody mentioned in his remarks, and I did in mine, we see that all of the initiatives that we had when you really focused on the rebound in Europe, the manufacturing price increases, the year-over-year benefits from on-boarding the two acquisitions and some of the initial impacts of the transformational agenda that we set in motion in the second half of the year really set us on a course where we could drive what we'd characterize as sort of normalized earnings growth in kind of that mid to high single-digits range. So when we look back at 2015, that's where we would say year-over-year we had got to and you can probably back in to a couple of numbers from that. But we see that normalized growth being sustainable on into 2016 and then building on that towards the high single-digits long-term growth rate that we're targeting.
Adam C. Noble - Goldman Sachs & Co.: Definitely makes sense. If you go to the international business, profit did take a step backwards both versus 3Q and 4Q of last year. Was that a function of just the lower top line or is there anything else worth calling out? And would you expect given, you mentioned, a few more customers you expect to onboard over the next few months, would you expect international to be a net contributor to earnings growth in 2016?
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Well, to take the second half of that question first, clearly we expect to sustain profits in Europe and clearly have it continue to grow. So we're very confident in that. There was just a tremendous amount of activity in Europe towards the end of 2014 and clearly throughout 2015. One of the nice things we'd be looking out is, perhaps we're not going to have to say that long sentence about all the adjustments in top line as we're moving forward into 2016. But I think where we are as we saw some adjustments, obviously we sort of downsized the business throughout the year; moved HealthCare at Home off the books in August, had a couple of customers transitioning from a buy/sell situation to a more fee-for-service that really impacted top line. So all of that I think when you look at year-over-year, top line growth culminated in the fourth quarter. So we got to see kind of a good run rate going forward for the year. And we feel very comfortable that we're going to build on that into 2016.
Adam C. Noble - Goldman Sachs & Co.: Great. Thanks for the questions.
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: You bet.
Operator: Thank you. And our next question comes from David Larsen of Leerink Partners. Your line is now open.
Chris E. Abbott - Leerink Partners LLC: Thanks, good morning. This is Chris Abbott in for David. Congrats on a strong finish to the year, Cody and Randy. So the long-term guidance that you did discuss at your Analyst Day of 8% to 10% earnings growth. If we look at 2016 guidance, it's implying low-single digits growth. Given the strong finish to 2015, are you being overly conservative on that 2016 upside or is that delta really some of the specific customer changes and rollouts that you've discussed for the year or I mean what else might get you above that range?
Paul Cody Phipps - President, Chief Executive Officer & Director: Yeah, Chris, let me tell you how I think about that. Again as Randy mentioned, finishing 2015 strong the way we did, there are a number of things in there, the turnaround of Owens & Minor Europe, the benefits that we've called out of the manufacturer price changes, the impact of the two acquisitions we made which are now fully embedded in our results and the initial impact of our transformation agenda including our global sourcing strategy. So when you factor all those things, and point one I'd say is, when I look at that, the normal operating rhythm of the business right now is in the mid to high single-digit earnings growth. So we're normalizing for that. Now, as we step into 2016 what I want to call out is we have a lot on our plates. We're really just now launching our transformation agenda. So as I look at 2016, it's going to be a year of talent building, of capability building, of organizing these key initiatives for success. So when you factor all that in, we're comfortable with the guidance we've provided. Again normalizing the operating rhythm of the business and then taking into account the launch of the transformation agenda. We're still committing to the goals that we've outlined which is, we want to go after that 8% to 10% earnings growth. But it just takes time to build the capabilities to deliver that on a sustained and consistent way and basis.
Chris E. Abbott - Leerink Partners LLC: Okay, understood. That's helpful. And, Cody, you've got – I guess a bit over two full quarters now under your belt. How are some of these – it seems like you've already accomplished a lot. I know there is a lot to go, but how are some of these initiatives to reduce costs, drive productivity gains, progressing versus your original expectations maybe where – where would you say you are in this process?
Paul Cody Phipps - President, Chief Executive Officer & Director: Yeah, I mean, clearly we're in the early stages of it. What I would say, though, Chris is I see a lot of latent potential in the business. And one of the key elements we called out in our plan is the – to enhance the performance of the domestic services business. So clearly I see the latent potential there. I'm encouraged by the early results. I've called out that one of the key hires we have is a new Head of Operations and we'd like to complete that and have that person on board sometime early in the second quarter at the latest. That's a key building block in terms of the talent and the early initiatives I see in terms of productivity and standard operating procedures in our network I'm encouraged by it. So to characterize it, we're in the early innings of that, but having done this before, I'm very encouraged by what I see.
Chris E. Abbott - Leerink Partners LLC: Great. Nice quarter.
Paul Cody Phipps - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. And our next question comes from Evan Stover of Robert W. Baird. Your line is now open.
Evan A. Stover - Robert W. Baird & Co., Inc. (Broker): Hi. Thanks for the questions. I wanted to talk about domestic. I know we previously knew there was a customer loss rolling on there beginning in the fourth quarter. I want to look at that growth rate in that business and get an idea how much that impact because I know these things don't go away on day one and they take time to transition. So I'm trying to think about what actual impacts that $200 million annual loss had in the quarter so I can get a better idea of the core growth rate.
Paul Cody Phipps - President, Chief Executive Officer & Director: Sure, Evan, how are you doing? You know I think as we outlined back in the second quarter call when we let everyone know that (23:49) be losing a customer, I think we reiterated in the third quarter call as we had the customer exited October 1 that relative to our size in the full year, a $200 million customer is a little over 2% in terms of the overall revenue. And if you think about year-over-year where we are, that's predominantly why we called down the sequential growth rate from 2015 to 2016. In the quarter, $50 million represents about 1.5 of growth and when you think about it versus the prior year and certainly sequentially you saw a drop in this loan price there. So that's when you look at it. So overall when you think about going forward, there's probably about $150 million delta year-over-year which would equate to about 1.5 percentage points on a 2016 basis.
Evan A. Stover - Robert W. Baird & Co., Inc. (Broker): Got it. And then, a small question, the tax rate next year is going to step down a little bit based on guidance. Is that something we should expect to see happen over time with international becoming a bigger part of the story? Or are there – a discrete item here or there that could hit that you expect to kind of drive that rate down? Just anything on tax rate progression next year would be helpful. Thank you.
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Sure. The way we look at it is not really a tax strategy per se. As we outlined to everybody, sort of, at the end of the 2014 period, we began with the acquisition of ArcRoyal, implementing a global sourcing strategy that's allowing us to do a variety of things to take advantage of various initiatives that really is going to increase income offshore and do a variety of things that have the net effect of lowering our effective tax rate. As we continue to achieve success in this area, it's going to have an ongoing benefit of a reduction on our effective tax rate. So I would see that continuing sort of a gradual benefit as we roll out. We haven't given any long-term guidance to the effective tax rate. But I think here's another opportunity for us as we implement an operational strategy to see the benefits of that in a number of different ways.
Evan A. Stover - Robert W. Baird & Co., Inc. (Broker): Okay. And final question for me, five straight quarters of international profitability is certainly nothing to sneeze at. I think someone did ask a question on the Q-over-Q stepdown this quarter. I guess, I want to kind of probe that question again. I historically have thought of international as being seasonally strong in 4Q, yet we did see the step-down. And you did say something about flu being weak. Maybe that's something we didn't think of. I mean, was that a material driver? Because I step back and I think about the cadence in that business improving the FX presumably being less of a headwind year-over-year. So if there's anything you can do to kind of parse out the decline, I know it's a small number, but the decline quarter over quarter would be helpful.
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Sure. I think when you look at profitability in the fourth quarter year-over-year, there was a lot going on in the fourth quarter in 2014, both positively and negatively. But we had done a number of things with HealthCare at Home that impacted adjusted earnings in the fourth quarter of 2014. We also had a very strong flu season in 2014 and by comparison, you've probably heard a couple of other companies that are involved in the flu season comment on the weakness of it. There was no difference over in Europe. In a number of the regions that we operate in, we handle a fair amount of that on a seasonal basis that really comes through in the fourth quarter. And it was just seasonally weak. So we did have some impact. We had a few things going on in the quarter to then position us for 2016 in sustaining growth. So, I still feel pretty confident we had a pretty strong year. Again, sequentially, it was a little weaker than on the absolute basis, but again, I think we're pretty confident in the sustainability and our ability to grow that business as we head into 2016.
Evan A. Stover - Robert W. Baird & Co., Inc. (Broker): All right. Thank you very much for the questions.
Richard A. Meier - Executive Vice President, Chief Financial Officer, and President-International: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the conference back over to Mr. Phipps for closing remarks.
Paul Cody Phipps - President, Chief Executive Officer & Director: Thank you, Candace. I would like to thank all of you for participating in today's call. We're pleased with the progress we made as a team last year, achieving solid revenue increases and record earnings growth. As we look ahead to 2016, we're already implementing elements of our plan which we believe will position us for sustained profitable growth in the years to come. With that, we thank you for joining us today and we look forward to seeing you at upcoming investor events. Operator?
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Have a great day, everyone.